Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Concrete Pumping Holdings' Financial Results for the First Quarter Ended January 31, 2025. Joining us today are Concrete Pumping Holdings CEO, Bruce Young; CFO, Iain Humphries; and the company's External Director of Investor Relations, Cody Slach. Before we go further, I would like to turn the call over to Mr. Slach to read the company's safe harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Cody, please go ahead.
Cody Slach : Thanks, Shamali. I'd like to remind everyone that in the course of this call, to give you a better understanding of our operations, we will be making certain forward-looking statements regarding our business and outlook. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from such statements. For information concerning these risks and uncertainties, see Concrete Pumping Holdings' annual report on Form 10-K, quarterly report on Form 10-Q and other publicly available filings with the SEC. The company disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. On today's call, we will also reference certain non-GAAP financial measures, including adjusted EBITDA, net debt and free cash flow, which we believe provide useful information for investors. We provide further information about these non-GAAP financial measures and reconciliations to the comparable GAAP measures in our press release issued today or the investor presentation posted on the company's website. I'd like to remind everyone that this call will be available for replay later this evening. A webcast replay will also be available via the link provided in today's press release as well as on the company's website. Additionally, we have posted an updated investor presentation to the company's website. Now I would like to turn the call over to the CEO of Concrete Pumping Holdings, Bruce Young. Bruce?
Bruce Young : Thank you, Cody, and good afternoon, everyone. Our first quarter was again impacted by volume-driven declines in our U.S. Concrete Pumping segment, offsetting continued growth in our concrete management business, specifically lingering higher interest rates from higher-than-expected monetary policy during our first fiscal quarter affected the timing of commercial projects. Additionally, extreme weather conditions in our Central Mountain, Southeastern and South regions, particularly in Texas, further impacted our revenue. In fact, we estimate some of the historic freezing temperatures and wet weather reduced our revenue by approximately $5 million in the quarter. In the UK, the impacts of sustained higher interest rates on commercial project volume largely followed similar trends we experienced domestically. But our infrastructure projects and improved pricing held up well considering the market backdrop. Despite the challenges in our pumping markets, our disciplined fleet management and cost control strategies enable us to increase gross margins and sustain our adjusted EBITDA margin in the first quarter. This flexible capital investment strategy, combined with our strong unit economics, expanding liquidity and improving balance sheet strength positions us well for a market recovery in fiscal 2025 and beyond. Turning to specific comments by end market. Within our commercial end market, we continue to experience construction softness across a variety of commercial work especially in light commercial, warehouse, manufacturing and office buildings, which tend to be more interest rate sensitive. Larger commercial projects remained mostly durable but continue to move at a slower pace given the economic backdrop. Our residential end market remained resilient, especially considering the interest rate environment. In fact, our mix of our U.S. concrete pumping work in the residential end market was resilient at 33% of total revenue on a trailing 12-month basis. We continue to see residential construction investments within our Mountain region and in Texas, which represents undersupplied regions where single-family construction is prominent. We still expect a structural supply-demand imbalance in housing will continue to support homebuilding activities especially as homebuilders entice customers with creative solutions that include rate buydowns and we believe the Federal Reserve's path to interest rate reductions should continue to support this end market growth. Offsetting some of our commercial market softness, revenue share in our infrastructure markets grew slightly year-over-year in the first quarter. In the UK, infrastructure growth has continued, and our U.S. national footprint has allowed us to win more funded projects, we expect our infrastructure business to grow in fiscal 2025 and due to the funding environment in the UK as well as opportunities domestically from the conversion of allocated budget funding into project starts within our infrastructure investment and Jobs Act. I will now let Iain address our financial results in more detail before I return to provide some concluding remarks. Iain?
Iain Humphries : Thanks, Bruce, and good afternoon, everyone. Moving right into our results for the first quarter. Revenue was $86.4 million compared to $97.7 million in the same year ago quarter. The decrease was mostly due to a decline in our U.S. Concrete Pumping segment due to the slowdown in commercial construction volume and severe winter weather in our central, Mountain, South and Southeastern markets. Revenue in our U.S. Concrete Pumping segment mostly operating under the Bundage-Bone was $56.9 million compared to $66.7 million in the prior year quarter. As Bruce mentioned, we estimate the severe weather impacted our first quarter revenue by approximately $5 million. For our UK operations, operating largely under the Comfort brand, revenue was $12.8 million compared to $15.4 million in the same year ago quarter due to lower volumes caused by a general slowdown in commercial construction work that was mostly due to the impact from higher interest rates. Foreign exchange translation had a minimal impact on revenue during the first quarter. Revenue in our U.S. Concrete Waste Management Services segment, operating under the Eco-Pan brand continues to perform well against a challenging market backdrop and increased 7% to $16.7 million compared to $15.6 million in the prior year quarter. This organic increase was driven by increased volumes and sustained improvement in pricing. Now returning to our consolidated results. Gross margin in the first quarter increased 200 basis points to 36.1% compared to 34.1% in the same year ago quarter. The improved margin was primarily due to continued improvement in our cost control initiatives that included improved fuel and repair and maintenance efficiencies. General and administrative expenses in the first quarter declined 13% to $27.8 million compared to $31.9 million in the prior year quarter, primarily due to the non-recurring $3.5 million sales tax charge that occurred in the first quarter of 2024. As a percentage of revenue, G&A costs improved to 32.2% in the first quarter compared to 32.7% in the prior year quarter. Net loss available to common shareholders in the first quarter was $3.1 million or $0.06 per diluted share compared to a net loss of $4.3 million or $0.08 per diluted share in the prior year quarter. Consolidated adjusted EBITDA in the first quarter was $17 million compared to $19.3 million in the same year ago quarter. However, our adjusted EBITDA margin was unchanged at 19.7%. As discussed previously, the improvement in margin on lower revenue was driven by well-controlled variable costs and a disciplined approach to managing our fleet. In our U.S. Concrete Pumping business, adjusted EBITDA declined to $9.2 million compared to $11.6 million in the same year ago quarter. In our UK business, adjusted EBITDA was $2.8 million compared to $3.2 million in the same year ago quarter. And for our U.S. Concrete Waste Management Services business. Adjusted EBITDA increased to $5 million compared to $4.5 million in the same year ago quarter. Now turning to liquidity. At January 31, 2025, we had total debt outstanding of $425 million and net debt of $340 million, which is a decrease of $33 million over the course of the year, which is a testament to our consistently strong free cash flow generation. This equates to a net debt-to-EBITDA leverage ratio of 3.1 times. We have approximately $410 million of liquidity as of January 31, 2025, which includes cash on the balance sheet and availability from our ABL facility On January 31, 2025, we successfully closed a private offering of $425 million in aggregate principal amount of senior secured second lien notes that mature in 2032. The proceeds were used to pay the redemption price for our outstanding 6% senior secured second lien notes that were due in 2026. In addition, the remainder of the net proceeds, together with cash on hand, were used to pay a special dividend of $1 per share on February 3. Over the years, we have executed a range of capital allocation priorities including debt reduction, share buybacks and the investment in organic and M&A growth. The recent senior note refinance represents a significant milestone in our evolution and underscores our consistent operating performance and healthy free cash flow generation. Returning excess capital to our shareholders in the form of a special dividend augments our capital allocation strategy and highlights our commitment to driving superior shareholder value, all while maintaining prudent leverage, balance sheet discipline and ample liquidity to invest in our long-term growth strategy. Now moving into our share buyback plan. During the first quarter, we repurchased approximately 296,000 shares for $1.9 million or an average share price of $6.53. Since the buyback was initiated in 2022, we have repurchased approximately $20 million of our stock, and we have an additional $15 million authorized through December of 2026. We believe our share buyback plan demonstrates both our commitment to delivering enhanced value to shareholders and our confidence in our strategic growth plan. Moving now on to our 2025 full year guidance. While we had expected some recovery and an improved project funding landscape in the second half of fiscal year 2025 and broader market uncertainty and higher food interest rates has weakened the near-term demand environment, particularly in our commercial end market. As we navigate lower commercial project volumes, we are adjusting our financial outlook for fiscal year 2025. We now expect fiscal year revenue to range between $400 million and $420 million and adjusted EBITDA to range between $105 million and $115 million. We expect free cash flow, which we define as adjusted EBITDA less net replacement CapEx, less cash paid for interest to be approximately $60 million, which is in line with our previous 2025 guidance when adjusted for our new capital structure. Our ability to drive this robust free cash flow on expected lower volume stems from our ability to optimize equipment utilization and flex CapEx investments based upon demand. This flexibility is also supported by previous investments we have made over the last three years, including from acquisitions to maintain sufficient capacity in our fleet utilization. With that, I will now turn the call back over to Bruce.
Bruce Young : Thanks, Iain. Looking ahead to the remainder of the fiscal year, we are well positioned for commercial market recovery. In addition to preserving margins, we have successfully reduced net debt and nearly doubled our liquidity year-over-year. This strategic positioning enhances our flexibility for future shareholder value initiatives including the special dividend paid in February, organic investments and future M&A investments. We remain focused on the long-term strategic aspects of our business that we can meaningfully influence, including the consistent and disciplined execution of our strategic growth plan resolute adherence to our leading commercial strategy and prudent cost control through ongoing operational excellence. Equally, we are hopeful that a return to a more seasonable weather pattern coupled with an expected improvement in the U.S. commercial construction volumes will stimulate demand. In the UK, our team continues to secure a nationally critical energy road and rail projects in addition to the well-documented HS2 project as the new UK government seeks to drive broader economic and productivity growth. The fundamental strength and underlying drivers of our resilient business model, proven strategic plan, strong balance sheet with significant opportunities for growth and a long history of successfully managing through economic cycles provides us great comments in our ability to continue delivering robust financial and operational performance. With that, I would now like to turn the call back over to the operator for Q&A. Shamali?
Operator: Thank you, sir. We’ll now be conducting a question-and-answer session. [Operator Instructions]. And our first question comes from the line of Tim Mulrooney with William Blair. Please proceed with your question.
Tim Mulrooney : Good afternoon.
Bruce Young : Hi, Tim.
Tim Mulrooney : First on the guide, it looks like you reduced your annual revenue guide by about $25 million at the midpoint. Just curious how much of that's due to the shortfall in the first quarter relative to your expectations? And how much of that is really more related to the remainder of the fiscal year?
Iain Humphries : Yeah. I mean, we're really taking a measured guide for the entire year, Tim. I mean, obviously, some of it was the shortfall that we mentioned between weather and market demand in Q1. But it's really a major look at the entire year, where we think that cadence of the remaining quarters to perform for the remainder of the year.
Tim Mulrooney : Okay. And do you still expect that split first half, second half split kind of 45-55? Or should we be looking for a little bit different cadence?
Iain Humphries : Yeah. So I mean we are expecting that the second quarter will be slight softer. We've seen some weather in February. But it aligns with that with the lower volume and the bring down in that $25 million. It's still centers around 45-55.
Tim Mulrooney : That's helpful. And just on that weather disruption, if you don't mind me just to keep going here for a second. That $5 million weather-related disruption in the first quarter, I noticed that you called a $7 million weather headwind in the first quarter of last year. So to me, and all else equal, that implies you had a $7 million easier comp in the first quarter of this year. So I guess does that mean that weather-related disruptions were really closer to $12 million in the first quarter of this year relative to your expectations?
Bruce Young : Yeah, that's right. And you can actually see that in the year-over-year performance. A lot of it translates. And we got some like heavy rainfall in November and January was like severe low temperatures all across the country. So a lot of that came in January. But yeah, you're right, it was more severe weather on top of quite extreme weather in the prior year. And that's what led to the volume. It's really a volume change based on that weather impacting.
Tim Mulrooney : Yeah. That makes sense. Two more quick ones on capital allocation. Just to clarify, that net debt of $340 million. I think in the press release, it said it includes the $53 million in cash used to pay the special dividend. Does that mean that you've already incorporated the payment into that calculation? Or we should add $53 million to that $340 million number to correctly adjust for the dividend?
Bruce Young : You should add it to $340 million.
Tim Mulrooney : Okay. So that gets me to my last question. I just want to ask a little bit more about your capital allocation priorities. Given the special dividend that was announced and it looks like your leverage ratio is going to go back up a little bit here. So how should we think about your philosophy or I guess, the Board's capital allocation philosophy around special dividends and the target leverage ratio? And just more broadly, where investors should expect you to apply free cash flow over the coming years. Thank you.
Iain Humphries : Yeah. So maybe I'll start with free cash flow. I mean, maybe I'll just revert back to our prepared remarks, Tim, on the guide. I mean it's $60 million of free cash flow. We believe that that's a really consistently high and healthy free cash flow number that we start from. And as you mentioned, we have a range of capital allocation products, some that we've invested over the period of being a public company. We mentioned in our remarks, well, it's between debt reduction, share buybacks, organic and M&A growth, the special dividend augments that. We'll continue to consider what we think drives the most optimal value as we go forward. But we -- you've seen us be committed to the balance sheet and discipline around leverage and you can expect that same commitment going forward.
Bruce Young : Tim, what I would add to that is we are more focused on M&A now than we were in the past years. While the market is a little messy right now, we think it's going to start improving later this year and into next year. And so we do have several interesting opportunities we're working on now. And so that could be part of our capital allocation this year that you haven't seen in the last couple of years.
Tim Mulrooney : Got it. That’s helpful. Thank you, Bruce. Thanks, Iain.
Bruce Young : Thanks, Tim.
Operator: Thank you. Our next question comes from the line of Brent Thielman with D.A. Davidson. Please proceed with your question.
Brent Thielman : Hey, guys. Good afternoon. Iain, I just wanted to ask real quick on Eco-Pan if there was a weather impact there as well. I didn't hear you call that out.
Iain Humphries : Yeah. So I mean they're dealing with the same challenging weather. I mean you all recall as opposed to just the pure service, Eco-Pan do get the benefit of on a wider market than the concrete pumping side from the amount of concrete production. So there's a market share element there. And obviously, they'll get rent on the pads that are out there as well. So they had the same challenges in the markets that are and obviously, it's a bit more pronounced than the core part of the U.S. business.
Brent Thielman : And I guess, Bruce, I mean, I guess, as the industry goes right now, what markets or sectors. Are you seeing sort of excess equipment capacity focused, maybe how that's impacting pricing dynamics in the market right now and how you're working around that?
Bruce Young : So there is still a surplus of equipment in the market. We expect with the softening market this year, that will continue. But the only market that really is affecting us is it would be residential, a little bit of light commercial, but those folks that are buying those units are mostly smaller units, and they're not really affecting the infrastructure or the commercial market.
Brent Thielman : Okay. I guess just the last one would be, you helped CapEx relatively low for a few quarters now, including the first quarter. And I mean, can we expect to see a ramp-up here or catch up in cost and replacement? Or do you expect to hold it at these relatively lower levels?
Iain Humphries : Our traffic -- I mean as you know, Brent, CapEx investment and capital allocation has been consistent year-over-year. And again, we don't have any air pockets in the investment we mentioned on the prepared remarks, we still have some excess capacity in our fleet. And that really feeds into that free cash flow number that we talked about. So there is not any significant investments that we're deferring, and we have enough fleet capacity to run what we think the volumes are here. So you don't expect to see a meaningful change in our investment in that replacement fleet as we go forward.
Bruce Young : Yeah. What I would add to that is as we start looking into more M&A, as you know -- as you all remember that every business we might have way more assets, at least 20% more assets than they need for the work that they have. And so that will play into that capital policy going forward as well.
Brent Thielman : Make sense. Thanks, guys.
Bruce Young : Thanks.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Justin Hauke with Baird. Please proceed with your question.
Justin Hauke : Yes. Thanks. Good afternoon everyone. I just wanted to ask about I guess, the puts and takes on the margin being flat year-over-year. Could you quantify maybe the positives on like the fuel cost side, concrete side labor side versus the declines on the volume side, just to kind of understand the moving pieces that got that back to flat.
Iain Humphries : Yeah, absolutely. Just I mean, as you know, a large percent. I mean between 75% and 80% of our cost of sales base is variable. So really, what we've seen in the quarter was good control over labor between operators on the mechanic side and then maybe about a 0.5 percentage point move on the field. We've seen some abatement on that fuel replacement. And then really on the repair and maintenance, I mean, good control on that variable cost, obviously, with a lower demand and there's less steps being on the equipment, which allows us to control that player and maintenance component. So really between repair and maintenance and fuel and good operator efficiencies really will contribute to keeping that margin in line, which, again, is a good estimate to that variable cost structure that we've got.
Justin Hauke : Okay. Great. And I guess my second question, just given a lot of the guidance part than it was answered. But on the Concrete Waste Management Services segment, the growth rate has come down a little bit from where it was in the past it was up 7% in the quarter. I guess I was just curious to understand the volume versus pricing mix there and how that's changed maybe over the last year or two.
Bruce Young : Yeah. So the pricing has been low single digits improvement. The volume issues are more with weather. If we wouldn't have had the weather in Q1 that we had, you would have seen the same type of growth with Eco-Pan that you had experienced in the past.
Justin Hauke : Okay, guys. Great. Thank you.
Bruce Young : Thanks, Justin.
Operator: Thank you. At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Young for closing remarks.
Bruce Young : Thank you, Shamali. We'd like to thank everyone for listening to today's call, and we look forward to speaking with you when we report our second quarter fiscal 2025 results in June.
Operator: And ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.